Operator: Good morning. Thank you for attending today's OceanFirst Financial Corp. Earnings Conference Call. My name is Bethany, and I'll be your moderator for today's call. All lines will be muted during the presentation portion of the call with an opportunity for questions-and-answers at the end.  I would now like to pass the conference over to our host, Jill Hewitt with OceanFirst Financial Corp. Please go ahead.
Jill Hewitt: Thank you, Bethany. Good morning, and thank you all for joining us. I'm Jill Hewitt, Senior Vice President and Investor Relations Officer at OceanFirst Financial Corp. We still -- we will begin this morning's call with our forward-looking statement disclosure. Please remember that many of our remarks today contain forward-looking statements based on current expectations. We refer to our press release and other public filings including the risk factors in our 10-K, where you will find factors that could cause actual results to differ materially from these forward-looking statements. Thank you. And now, I will turn the call over to our host, Chairman and Chief Executive Officer, Christopher Maher.
Christopher Maher: Thank you, Jill, and good morning to all, who've been able to join our second quarter 2022 earnings conference call. This morning, I'm joined by our President, Joe Lebel; and our Chief Financial Officer, Pat Barrett. You may recall Pat joined our team in April and resumed his role as Chief Financial Officer on June 2, upon the retirement of Mike Fitzpatrick. So this is Pat's first quarterly earnings season with us. As always, we appreciate your interest in our performance and are pleased to discuss our results with you. This morning, we'll provide brief remarks about the financial and operating performance for the quarter and then provide some color regarding the outlook for our business. As a reminder, in addition to the earnings release issued last night, an investor presentation is also available on our company's website. We may refer to those slides during the call. After our discussion, we look forward to taking your questions. Our financial results for the second quarter included GAAP diluted earnings per share of $0.47. Earnings reflect strong loan growth, expanding margins and benign credit conditions. Core earnings were $0.59 per share and reflect non-core items primarily related to unrealized equity mark-to-market valuation adjustments on preferred stock positions and to a lesser extent charges related to branch closures and mergers. Turning to capital management. Given the company's strong performance, the Board increased the quarterly cash dividend by $0.03 or 18% to $0.20 per common share. This is a company's 102nd consecutive quarterly cash dividend and represents 34% of core earnings. Tangible common equity per share increased modestly to $15.96, reflecting earnings momentum outpacing AOCI marks related to our investment portfolio, share repurchases and the acquisition of our interest in the Trident Title insurance business. The company's share repurchase activities continued during the second quarter with 272,779 shares repurchased at a weighted average cost of $19.25. Our appetite for share repurchases will be balanced against opportunities to deploy capital in growth initiatives and reflects trading rules that limit the number of shares the company is able to retire while awaiting the regulatory review for the Partners Bancorp acquisition. There are 2.9 million shares available under the current repurchase program. Regarding the Partners Bancorp acquisition announced in November 2021, the company has submitted all the necessary regulatory applications and continues to provide additional information as requested. At this time, we do not have a timeline from the regulators for when the process may be completed. Until all approvals and customary closing conditions are met, we cannot schedule the merger closing. Turning to net interest income and margin. Net loan growth of $316 million and our asset-sensitive balance sheet drove another quarter of margin improvement, which expanded by 11 basis points to 3.29%. We experienced elevated prepayment fees for this quarter of $2.6 million or 9 basis points and expect the level of prepayments to slow for the remainder of the year. Two factors should provide a tailwind for margins. First, the quarter end loan portfolio of $9.4 billion was $176 million higher than the second quarter average of $9.2 billion. Second, the company held $2.3 billion of floating rate loans, repricing in the third quarter, which will provide the opportunity to strengthen margins as rates increase. And that should be the case in the third quarter and perhaps for the remainder of the year. The benefit from rate increases experience is a time lag. So in the coming quarters, NIM could be flat or expand but trends should be positive overall. Core non-interest income and non-interest expenses included a full quarter of Trident Abstract Title Agency operations, which added $4.5 million of non-interest income, and $3.2 million of non-interest expense for the quarter, resulting in $1.3 million of net income for the quarter. The purchase of our interest in Trident was completed on April 1. So these figures reflect a full quarter impact. Excluding the impact of Trident, our disciplined expense management resulted in core operating expenses related to banking operations improving modestly to $54.7 million, where $400,000 lower than the prior quarter. I'd also like to provide some additional color regarding expense trends. As noted in our earnings release, the Bank increased base salaries by 5% for over 80% of our employees and paid a one-time award to almost 20% of our employees to support our team members who would be most impacted by inflationary challenges. The annual impact not captured in this quarter's financial results is $2.3 million or almost $600,000 per quarter. I will add the compensation increases for this purpose are not typical at OceanFirst. Our company is a talent-led business and our employees provide our competitive advantage. This investment in our team reinforces our commitment to them. It demonstrates an understanding of the challenges they and their families are facing during the current economic cycle. No additional compensation actions are contemplated for the remainder of 2022. And it's simply too early to speculate on the level of labor expense pressure for 2023. Fortunately, our multi-year and comprehensive program of branch consolidations has improved our ability to manage the company's overall expense base. The second quarter run rate captures our expected core operating expense for the remainder of the year. At this point, I'll turn the call over to Joe to provide some color regarding our progress during the quarter.
Joseph Lebel: Thanks, Chris. The loan portfolio had another strong growth quarter with $316 million in net growth fueled by commercial banking relationships. Total loan originations were $835 million, driven by commercial closings of $646 million. Our New York region crested $2 billion in its loan portfolio, while our Boston region has built a loan book of $250 million in one year from the opening of the office, a testament to our continued investment in commercial talent in our legacy and expansion markets. After nearly $1.6 billion in meaningful loan growth over the last 12 months, we are starting to see the impact of rising rates affecting the decision making of certain segments of our customer base. Our pipeline of $385 million at the end of Q2 is typically our seasonal low for the bank, but also reflects our expectation of more measured loan growth for the rest of the year, as we maintain our traditional discipline and pricing, structure and credit appetite. That said, I expect we can responsibly grow the loan book in the range of $250 million quarterly although growth could be choppy at times. I expect the residential originations to slow, where prepaid speeds will also moderate providing some offset. At the moment, we have less visibility in the pipelines looking much past Q3 given some of the noise and rates, supply chains, and economic uncertainty. Turning to deposits. Our loan-to-deposit ratio ticked upwards to 95.9% from 90.6% in the prior linked quarter due to the loan growth coupled with the traditional decline due to seasonality in certain deposit classes. You'll notice we took action to protect against near-term deposit cost pressure. During the quarter, we elected to replace a portfolio of market-sensitive floating rate deposits with term-based certificates. We accomplished the duration extension by issuing $689 million in brokered CDs with laddered duration maturities. The strategy also took advantage of some pricing anomalies in the brokered CD market and gained duration at lower rates than the equivalent duration FHLB advances. The rotation is complete and we expect to return to our traditional sources of funding for the remainder of the year. In keeping with normal seasonal trends, the Bank has experienced net deposit growth of $145 million since June 30. Credit trends remained benign with the company realizing just $9,000 of net charge-offs for the quarter and net recoveries of $83,000 year-to-date. Loan portfolio risk characteristics are very healthy with low delinquencies, positive risk rating trends and non-performing assets, excluding PCD loans of just 14 basis points of total assets. For the first time in our history as a public company, we do not carry a single property of other real estate owned on our balance sheet. The loan loss provision for the quarter was driven primarily by net loan growth with much of our reserve remaining in the form of qualitative factors that reflect the potential for economic uncertainty in future periods. As Chris mentioned, Trident was additive to net -- to non-interest income on a net basis by $1.3 million and its first quarter as a notion for a subsidiary. This partially offsets the loss in interchange revenue attributed to Durbin of roughly $1.5 million per quarter, which began on July 1st. With that, I'll turn it back to Chris.
Christopher Maher: All right. Thanks, Joe. We'll now begin our question-and-answer portion of the call.
Operator:  Our first question comes from the line of Michael Perito with KBW. Please go ahead.
Michael Perito: Hey, guys. Good morning. Thanks for taking my questions.
Christopher Maher: Good morning, Mike.
Michael Perito: I apologize. I did hop on a few minutes late, so I missed something quite a bit. But, Chris, what's the latest that you can share beyond the press release regarding the partnered transaction? And, yeah, I guess I'll just leave it there. I'm sure it's not much, but just I wanted to ask.
Christopher Maher: Yeah. I appreciate the question, Mike, and I know that's on everybody's minds, and it's on our minds as well. Unfortunately, the only thing I can share is that we continue to await regulatory approval and that's just a process we're being respectful about and try to work through as best we can. And I don't have a timeline that I can give over when we might receive them.
Michael Perito: Can you remind us though, in terms of the actual merger contract, like, what was the duration that it ran through or when would it be required to kind of negotiating expansion?
Christopher Maher: Yeah. So the contract would call for us to consummate the transaction on or before November 4 of this year.
Michael Perito: Okay. Got it. Helpful. And then, I heard the expense commentary, obviously, the environment is challenging, but I just want to make sure I heard it right. It sounds like obviously ex-partners, do you guys think that second quarter run rate now kind of reflects the near-term higher level of salary benefits and should be a decent run rate for the back half of the year is at some of the other items, you guys are working on continue, or did I mishear that?
Christopher Maher: No. That's a good guide. The -- as we think about, there is some kind of obviously in every quarter, there is going to some puts and calls on things like that. But if you take the second quarter, we think that's roughly what we would experience in Q3 and Q4. It might be a little bit higher than that, but it's not going to be materially different than that.
Michael Perito: Okay. And then just lastly for me and then Iâll step up. Just on the capital front, you guys have been a little bit more insulated than some peers in terms of the AOCI impact. And I know there are regulatory cap ratios, but I guess the bottom line, as you guys are still sitting in a pretty strong position today despite the loan growth. So is it fair to assume that buybacks will continue to a certain extent near-term here or does the potential deal impact your ability to buy back stock in the back half of the year?
Christopher Maher: We still have an appetite for buybacks. But I guess I characterize that appetite to be informed by kind of where we're trading, what the earn backs would be from a buyback and how strong the loan growth is going to be. Joe had mentioned that our pipeline is seasonally low, its always low at this point of the year. So we've got really good conversations with clients. We think Q3 will be in good shape. But looking forward, I can't give much guidance around how much loan demand we may see in Q4. Obviously, the best thing we want to do is grow the bank. The second best thing, if we don't have use for the capitals to return it to the shareholders. So we still have an appetite for growth, but we're watching closely -- I'm sorry, an appetite for buybacks. We're watching closely the organic consumption of capital. And what we can grow at a good clip with our internally generated capital but there may be points at which we decide to ratchet back and buybacks and use it to just fund growth.
Michael Perito:  All right. Sounds good. Thanks for taking my questions. Have a good weekend.
Christopher Maher: All right. Thanks, Mike.
Operator: Thank you, Mr. Perito. The next question comes from the line of David Bishop with Hovde Group. Please go ahead.
David Bishop: Good morning, Chris. How are you?
Christopher Maher: Good morning, Dave. How are you?
David Bishop: I'm good. Hey, in your commentary, it sounded like maybe a little bit of cautiousness that serves the regards -- with regard to the outlook for the near-term net interest margin. Obviously, it looks like loan yields of the pipeline are up over 100 basis points year-over-year, but the addition of the brokered deposits maybe the âasset sensitivityâ over the near term and it plays out maybe at the tail end of the current cycle if we get like $350 million by next year.
Christopher Maher: It may, a little bit in the short-term. I think what happens is, not unlike other places, the rate increases roll through our loan book over the course of sometime, there're some loans adjust immediately, some at the end of the month, some may have a quarterly repricing. So the asset sensitivity is there, whether it will show fully in Q3 is a question we're just kind of watching closely, which you might see as a little plateau and then it resumed expansion after that. And look, it may be an expansion in Q3, but we don't expect it to be a material expansion.
David Bishop: Got it. And then in terms of the new market initiatives here, just curious in terms of the pipeline there, what you're seeing relative to the rest of the book? And maybe potential for even further expansion but then maybe the Greater Boston Market? Thanks.
Joseph Lebel: So good morning, Dave. We're really happy with what Boston and Baltimore have done so far. The $0.25 billion in the year for Boston's, an outstanding, this is an impressive number. They continue to have a healthy pipeline at those Baltimore and I now refer to Philly and New York as legacy markets, right, because we've been in them for between four and five years and they're both well over $1 billion, New York over $2 billion. So I think overall, while we're seeing some clients question what they want to do going forward. But we made pretty confident that we can get that $250 million a quarter, which is in our sort of our benchmark, maybe a little bumpy depending on the quarter. But I think on an annualized basis, we're not overly concerned. Visibility, going out more -- a little bit more than a quarter has become a little bit more murky just because you just don't know where clients are going to fall out, but I made a comment earlier this morning that we had 3% 10-year rates just four years ago. People -- they're acting like rates -- these rates, we haven't seen in forever  was 5.5 in December of 2018. So customers sort of acclimate fairly quickly.
David Bishop: Got it. Appreciate the color.
Operator: Thank you, Mr. Bishop.  Our next question comes from the line of Matthew Breese with Stephens Inc. Please go ahead.
Matthew Breese: Good morning, guys.
Joseph Lebel: Good morning, Matt.
Matthew Breese: Hey, Joe. Just on the $250 million of growth per quarter understanding it could be lumpy. How long should we contemplate that kind of growth for -- I'm just thinking, it's still a robust pace of growth, should we consider that through year end '23 or just through year-end in your view?
Joseph Lebel: I think, look, I don't know how you forecast that. I look at it quarter-by-quarter. I used to have -- I would say before the noise in supply chains and economics, we had a little bit further visibility. The new thing about having engines in varying regions in our markets in the country is that when a region maybe down or even a market is -- property areas down, CRE is down and C&I picks up, C&I slows downs, CRE picks up. So we feel pretty bullish. We're talking to our folks all the time and we did take a fairly measured approach in credit structure. I think short-term that's probably impacted the pipeline a bit. I think we're holding fast to disciplines, but I'm not overly concerned but it might be a little lumpy but I don't think that's it. I don't think that's a near-term concern.
Matthew Breese: Okay.
Christopher Maher:  It's really difficult right now because we see the pricing changes and we're going to get paid for the risk we take. We've always been a conservative credit shop. So it's hard to tell whether those two things the pricing and our credit cut, which is always been I think of careful. That may impact our ability to grow. So I would say that as far as we can see, we think we can hit that number, but the bias might be to underperform that number rather than overperform that number.
Matthew Breese: Understood. And then aside from capturing better yield, it sounds like perhaps you're just taking a second look at how you're underwriting things. In what ways have you become more conservative, are you asking for more skin in the game from the borrowers? Are you putting more stipulations in place? And if there is a portion of the portfolio that you've taken a second look at? I'd be curious which ones.
Christopher Maher: I think for us, Matt, we always ask for -- we're always for equity. We are stressing portfolios at higher rates as you would expect given the rate increases. And I think property types are important, especially in the CRE space. So office, I think everybody is looking a little harder at office because no one knows what's going to go on at lease expirations in a few years. Everything we hear is a consolidation of space because of some remote work and some hybrid work, and the same with retail. I mean, we look at retail as well. Everybody has jumped in the last few years in industrial, that's become a very crowded space. I think what you do there is pick and choose not only from a credit perspective but from a pricing perspective, there is no need to be in something where you don't make money. So -- but I think we're fairly confident.
Matthew Breese: Okay. And then just maybe turning to the opposite side of the balance sheet supporting that $250 million in loan growth. What -- how much of that can be done through deposit growth? What kinds of deposits? And then, I'm curious on the 96% loan-to-deposit ratio, how should we be thinking about an upper limit on that?
Christopher Maher: Joe made some additional thoughts on kind of how we'll get those deposits, but I'll make some general comments. First, for the most part, we think that funding loan growth with deposits is the right thing to do. So that's generally what our position is. And we think we can grow deposits in the future quarters. Now, we may have to pay a little bit more for that or we may have to offer certain products or rates, but we're prepared to do that. In terms of loan-to-deposit ratio, I think the most valued banks are traditionally at that 100% or lower loan-to-deposit ratio. And that's where we generally like to be. That said, we have a very unusual rate cycle going on right now. And you could foresee that if the Fed may peak increases later in the year or early next year or something like that that it might be a good strategy to lean on some wholesale funds that would reprice faster. So we're just going to balance those two things off, but we're not going to turn into a company that's going to have a 120% loan-to-deposit ratio, it's not us. In fact, we're talking to our officers this morning and just emphasizing that we've always been good at deposit gathering and we're going to spend a lot more time and attention on that. So we can balance it out in a little while since we need that engine.
Matthew Breese: Got it.
Joseph Lebel: First time in a long time, Matt, we're actually going to start looking actively four deposits. We've all been in the same both the last couple of years with excess liquidity. But our books, I think are chomping at the bit to be able to go at it from both sides, right? We've been going at it hard on the lending side. And I think our folks, especially our retail folks are excited about going out positive.
Christopher Maher: The single biggest place we would see deposit growth is in our corporate treasury function. That is an engine that we have built over the last few years. We've got the right people in the right place. We've got the right technology. So we're going to push that pretty hard.
Matthew Breese: Okay. And then the last one along these lines. It's just expectations for the deposit beta now that what seems to be have to pass the halfway mark on the rate hiking cycle, and how you would compare and contrast expectations around beta cycle versus last?
Christopher Maher: Every cycle is different, Matt. So I'd hesitate to try and predict how this will play out exactly. I will say that given the mix of our deposits, 85% core, the vast majority of them are checking accounts, some interest bearing and some not but almost all checking accounts. We expect it to outperform the group and less clear on what that group will do. But I don't think we'll be on the positive side of that. And we have seen other than we noted the price sensitive accounts that we took care of in the last call -- in the second quarter. Other than that we've seen remarkably little pressure on deposit flows and rates thus far. That said, the third quarter deposits are going to be materially more higher -- more highly priced than second quarter. But as of right now, the loan yields are moving faster than that. So we don't think you -- we're not concerned about margin compression. But you'll see deposit cost come up.
Matthew Breese: Got it. Okay. I'll leave it there. Thank you for taking my questions. I appreciate it.
Christopher Maher: Thanks, Matt.
Operator: Thank you, Mr. Breese. Our next question comes from the line Manuel Navas with D.A. Davidson. Please go ahead.
Manuel Navas: Good morning. Thinking about the loan outlook, do you think that kind of the shortened view is being imposed on you by the greater market? Or are you seeing some things which a customer base that is informing that perhaps the fourth quarter could be a little different than higher expectations?
Christopher Maher: I'm sure that probably have the same view. I think when we think about what we're seeing in the market, there has not been a material decrease in economic activity or the demand for credit in our markets to get, that could change. However, here we talked about structures and pricing, we are going to stick to our structure and pricing requirements. It will take a little while to understand exactly how many of those deals we'll be able to pull out. So my caution is more about the market share deals we're going to get depending on rate and structure, not that the demand is falling off. Is it fair Joe? Is it kind ofâ¦
Joseph Lebel: Yeah. That's fair.
Manuel Navas: I guess, following up on that. Are you seeing greater competition in terms of pricing and structure and is it different in different markets? So that's going to be my next question.
Joseph Lebel: Sure. I mean I think the competition is similar. I think we purposefully had said, we've had significant growth in the last year. We know the kind of deals we put on. We also know the kinds of deals we're seeing today. And I think the market is a little bit more aggressive in pricing definitely a little over aggressive in structure. So I think for us, we have the ability to select their work, they can choose. I'm not overly concerned in any one market, I think all markets are similar in scope. So I think what we're seeing is what we expected to see. We just hold to disciplines, our folks understand that. And remember that pipelines are a point in time. The pipeline you're seeing is a point in time it's improved since quarter-end, so.
Christopher Maher: Just one more point about the market and we're very fortunate, although, we did this deliberately in the market that we are in. This Northeast make uplift for us, it's 50 million people here. We are a very modest player in that market. So, Joe has the ability from quarter-to-quarter where his conditions change to be more or less aggressive in different geographies and different asset classes. And we have a tremendous -- we are operating in economy, a regional economy that is so significant that I don't expect loan demand is going to fall off. It's going to be a matter of what choices we make about risk selection.
Manuel Navas: Got it. I appreciate that. Kind of a tricky question for modeling. How quickly, if you get regulatory approvals, could your deal close?
Christopher Maher: Well, typically, if you secure final regulatory approval, you could close in two weeks, three weeks. There is a shareholder election thing we have to work through, should we get approvals, but it should be measured in weeks.
Manuel Navas: That's helpful. Thank you. That's it for today. Thank you.
Operator: Thank you, Mr. Navas.  Next question is a follow-up from the line of David Bishop with Hovde Group. Please go ahead.
David Bishop: Hi, Chris. Just a discussion on the funding and the deposit side. I guess, you mentioned the one-off of those interest-sensitive checking accounts. Just curious what's the genesis of those? Were those accounts acquired via acquisition sort of organic deposit growth? Just curious, where those were generated from?
Christopher Maher: So our corporate treasury group is a -- first of all, has a great granularity. So we have almost 40,000 customers, have at least one cash management product with us. It was a very small segment of those customers who were rate sensitive and we were happy to have them when Fed funds was a quarter point. They wanted to optimize their balances either through suites or different things like that. So we could have elected to keep them. And in fact interestingly, if we elected to keep them, we would have kept them at a lower cost than the CDs we put on. However, we knew we would be in the cycle of having to match, it would have been not 100% beta, but close to it. So we said, what -- we don't need these 100% beta deposits, what's replaced them with something that has a little more duration, but they were a very defined portfolio and that rotation has been completed. So we don't have that concern beyond that.
David Bishop: Got it. So this isnât (ph) a case, I know you guys have obviously been aggressive in winning the branch network here, this isn't related to any sort of outflows there. So it sounds like -- but no issues from what you said in terms of deposit attrition from branch closures.
Christopher Maher: No. That's a really good point, Dave, thanks for mentioning it. In fact, we track deposit retention really, really carefully given our history. And even the closures, we did in December and January, they kind of -- the attrition peaked by probably end of March. And then those branches began growing again. So -- and again it was well within the range of what we expected. So this is not related to the branch consolidation efforts.
David Bishop: Got it. And then maybe as you're out of Europe wherever you run that expertise, but did see that Netflix is potentially bidding on to build their East Coast studio there at the Fort Monmouth (ph) property. I know you're on a lot of boards out there in terms of Chamber of Commerce as such. Any insight or probability you're hedging or any update you heard any rumors about that getting approved?
Christopher Maher: We would love to have them here. So I'm sure most communities would and one of the assets we have in our core geographies. The former Fort Monmouth, which is in the process of redevelopment, process it takes decades. So we'll be thrilled, if Netflix comes in there. If they don't come in there, then somebody else will come in there over time. It will be good for the area.
David Bishop: Great. Thank you.
Christopher Maher: All right. Thanks, Dave.
Operator: Thank you, Mr. Bishop. Our next question is a follow-up from the line of Manuel Navas with D.A. Davidson. Please go ahead.
Manuel Navas: Hey, just wanted to follow up. What kind of the actions you've done with the brokered deposits into the FHLB lengthening duration. Would you consider offering CDs to try to get ahead of deposit cost increases? It seems like that would match your kind of thought process in general with funding.
Christopher Maher: Yeah. So we want to be careful. And that's -- we were very thoughtful in the duration we chose. So the weighted average duration is nine months on that book. Some of them extend, it's a little bit over a year. What we don't want to do is create funding overhang that should the Fed start to ease in 2023, because we regret haven't gone too long on funding. So we want to lengthen a little bit but not go overboard.
Manuel Navas: And I was thinking more of your general CDs -- your general deposit strategy and kind of comparing the two, so this is just a piece of it and be a little more careful with the rest of it merger.
Christopher Maher: Correct. Yeah. We have a similar pricing philosophy on consumer CDs and things like that. Same idea, you want to lengthen enough so that you're not having to reprice those every few weeks, but you don't want them lasting out there for years unless we see something different in the economy.
Manuel Navas: Perfect. Very thoughtful. Thank you.
Christopher Maher: All right. Thanks.
Operator: Thank you, Mr. Navas.  Currently, there are no questions waiting at this time. I would like to pass the conference back to Christopher Maher for any closing remarks.
Christopher Maher: Very, very thank you. We appreciate everyone's time and participation this morning. We look forward to speaking with you after our third quarter results are published in October. Thanks.
Operator: That concludes the OceanFirst Financial Corp. earnings conference call. I hope you all enjoy the rest of your day. You may now disconnect your lines.